Operator: My name is Kirsten, and I will be your conference facilitator this afternoon. At this time, I would like to welcome everyone to Fortive Corporation’s Third Quarter 2017 Earnings Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Ms. Lisa Curran, Vice President of Investor Relations. Ms. Curan, you may begin your conference.
Lisa Curran: Thank you, Kirsten. Good afternoon, everyone, and thank you for joining us on the call. With me today are Jim Lico, our President and Chief Executive Officer; and Chuck McLaughlin, our Senior Vice President and Chief Financial Officer. We present certain non-GAAP financial measures on today’s call. Information required by SEC Regulation G relating to these non-GAAP financial measures are available on the Investors section of our website, www.fortive.com, under the heading Financial Information. A replay of the webcast will be archived on the Investors section of our website later today under the heading Events and Presentations and will remain archived until our next quarterly call. A replay of the conference call will be available shortly after the conclusion of this call until Friday, November 10. Instructions for accessing this replay are included in our third quarter 2017 earnings press release. During the presentation, we will describe certain of the more significant factors that impacted year-over-year performance. All references to period-to-period increases or decreases in financial metrics are year-over-year. During the call, we will make forward-looking statements within the meaning of the Federal Securities Laws, including statements regarding events or developments that we believe or anticipate will or may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties and actual results might differ materially from any forward-looking statements that we make today. Information regarding these factors that may cause actual results to differ materially from these forward-looking statements is available in our SEC filings, including our Annual Report on Form 10-K for the year ended December 31, 2016. These forward-looking statements speak only as of the date they are made, and we do not assume any obligation to update any forward-looking statements. With that, I’d like to turn the call over to Jim.
Jim Lico: Thanks, Lisa, and good afternoon, everyone. We are pleased with our third quarter results as our teams continue to execute well and deliver substantial core revenue growth with very strong adjusted earnings per share growth and free cash flow generation. The financial performance this quarter demonstrates the strength of our market positions, industry-leading innovation and the diversity of our portfolio amidst improving global end markets. We also took meaningful steps to strategically position Fortive for enhanced long-term growth through M&A. As we will discuss, in addition to the strong financial performance in the quarter, we were excited to close on $1.6 billion of acquisitions, including Orpak, ISC and Landauer that will contribute key product technologies and strengthen our recurring revenue profile. We believe these strategic portfolio additions and the power of the Fortive Business System will accelerate our growth trajectory and continue to deliver superior returns. Before getting into the earnings results, I’ll briefly update you on this year’s CEO kaizen event, which we held earlier this month. As we did in 2016, we brought together our top leaders across the company and spent the week utilizing FBS tools to focus on our key growth initiatives. The CEO kaizen provides an opportunity to celebrate our core values and to recognize our culture of continuous improvement. This year, more than 20 kaizen teams advanced to actions across our platform that will deliver accelerated innovation and market share in 2018 and beyond. With that as a backdrop, let’s turn to the details of the third quarter. Our adjusted net earnings of $271.5 million were up 16% over the prior year, representing the third consecutive quarter of double-digit earnings growth. Adjusted diluted net earnings per share were $0.77 with an effective tax rate of 24.4% for the quarter. Sales grew 7.5% to $1.7 billion, including a core revenue increase of 4.8%. Revenue growth was broad-based as all six strategic platforms grew core sales and four of six grew core sales mid-single digits or better. This performance reflected the success of multiple product introductions, favorable price, continued performance in high-growth markets and improving industrial end markets in North America. The favorable impact from acquisitions substantially accelerated to 180 basis points of growth, given the success of our capital deployment and strong business performance in strategic markets. Geographically, high-growth markets grew – core revenue grew double-digits with continued strength across Asia and improved growth in Latin America. Mid-teens growth in China was led by business wins at Jacobs Vehicle Systems, Tektronix, Fluke and Kollmorgen. Developed markets core revenue grew low-single digits driven by continued strength in Western Europe and improved performance in North America at Tektronix and in our automation businesses. We posted a record gross margin of 49.8%, an increase of 50 basis points over last year. Operating profit margin was 21.1% in the quarter, with favorable incrementals driving core operating margin expansion of 150 basis points or 90 basis points, excluding the benefit from lower amortization. The widespread application of FBS delivered core operating margin expansion in five of our six platforms. During the third quarter, we generated $287 million of free cash flow and delivered a strong conversion ratio of 107%. Turning to our segments. Professional Instrumentation posted sales growth of 8.7% with core revenue growth of 5.3%. Acquisitions contributed 270 basis points and favorable currency 70 basis points. Core operating margins expanded 240 basis points, which reported operating margins of 22.7%. Advanced Instrumentation & Solutions core revenue increased mid-single digits during the quarter, led by high-single-digit growth in high-growth markets. Field Solutions core revenue was up mid-single digits in the quarter with both Fluke and Qualitrol posting strong core revenue growth. As I mentioned previously, we’re very excited that we have closed the acquisition of Industrial Scientific and Landauer, which together create a meaningful safety-as-a-service footprint that accelerates our connected device strategy. ISC, a leading provider of portable gas detection equipment and services, is off to a great start and was very quick to adopt our FBS culture. Landauer, which just closed last week, is expected to bring strong recurring sales growth given the strength of its technology and subscription-based radiation exposure services focused in the medical end market. Fluke’s mid-single-digit growth included solid growth across all regions, particularly high-growth markets. This is the fifth consecutive quarter of improving core growth despite more challenging comparisons. Performance was led by Fluke Networks and Fluke Digital Systems, which includes the key components of the Accelix reliability platform. The Accelix pilots we announced last quarter are advancing with several large customers. As an example, utilizing the Fluke Accelix platform, a Fortune 100 healthcare company will deploy our condition monitoring solution, which includes power quality, ultrasound vibration and thermal imaging tools. This customer’s facilities are now capable of providing real-time critical alerts to maintenance technicians, allowing full access to their enterprise asset management data via mobile technology. While implementation is still in the initial phase, all the pilots are demonstrating that our comprehensive solution delivers real measurable value through asset reliability and increased uptime. In addition to these large-scale condition monitoring pilots and the growth of the funnel, we also saw strong double-digit revenue growth at eMaint during the quarter. Fluke maintains its leading market position through innovation, and in the third quarter, Fluke launched a non-contact voltage products we previewed at Investor Day. This T6 family of electrical testers with field sense technology makes work safer by enabling technicians to measure voltage without making metal-to-metal contact. Fluke has already received two innovation awards for this product from distinguished industry associations and sales are well ahead of plan. Qualitrol delivered high-single digit growth led by further penetration of condition-based monitoring solutions for Europe and Chinese OEMs as well as Middle East utilities. The China market continues to benefit from ongoing investment in high voltage transmission, while offset by the Middle East, where a political instability is delaying budget approvals. Moving to product realization. Platform core revenues were up mid-single digits for the quarter led by growth at Tektronix. Tektronix high-single digits core revenue growth continues to be driven by high-growth markets with double-digit growth in Asia. This performance reflects strong sales growth in the semiconductor and Mil/Gov end markets and high demand for Tektronix’s groundbreaking new product introductions. Sales performance of the Tektronix five series mixed-signal oscilloscope has exceeded our expectations. Using FBS tools, we executed against our go-to-market action plan to accelerate end user demand. As we previously noted, this new platform will have a more meaningful impact starting in 2018, we are very encouraged by the strong start. Our Sensing Technologies platform delivered high-single digit core revenue growth in the quarter led by double-digit growth in high-growth markets. While market share gains and global industrial stabilization impacted worldwide growth, a key business win in the semiconductor upcycle led growth in North America. One of our new technologies is the Setra Flex environmental monitor, which just recently won the 2018 air-conditioning, heating and refrigeration innovation award in the building automation category. Setra Flex is used to ensure safe and energy efficient indoor environmental and ventilation control conditions in all types of pressurized critical spaces, including operating rooms, biosafety labs and clean rooms. Moving to our Industrial Technologies segment. Revenue grew 6.5% with core revenue growth of 4.4% and sales from acquisitions contributing 100 basis points. Core operating margin expanded 50 basis points with reported operating margin of 21.8%. Our Transportation Technologies platform posted low single-digit core revenue growth in the quarter, reflecting solid sales growth across the platform. Low single-digit core revenue growth at Gilbarco Veeder-Root came in as expected as demand for EMV in North America slowed versus very strong prior-year double-digit comparisons. Global dispenser sales were up mid-single digits, reflecting continued outperformance in Europe and EMV-related sales growth in the U.S. High-growth markets core revenue grew double digits, driven by strong demand for dispensers, submersible pumps and automatic tank hinges. Integral to our high-growth market strategy, we closed the previously announced acquisition of Orpak during the third quarter. In August, Orpak was named the winner and a large fuel automation tender issued by IOCL, which is the largest oil company in India. Orpak will deploy its foresight fuel station management automation technology in up to 10,000 stations. We are very pleased with Orpak’s performance and happy to have the team as part of the Fortive family. Separately, our thoughts are with many of those that are affected by the devastating September hurricanes across the U.S. As gasoline demand spike in supply was disrupted, our Insite360 fuel the logistics team was able to prevent or significantly reduced our customers’ fuel runout rate across the affected areas. Telematics posted core revenue growth of mid single-digits in the quarter led by strong SaaS sales growth and increased installed base growth. The success of our new Director platform and the strong adoption of electronic logging devices especially in the small to medium business segment has helped performance in the U.S. as core sales in North America improved sequentially by greater than 400 basis points. Given this positive trend, we continue to see North America performance accelerate and expect telematics to exit the year at high single-digit growth rate. Automation and specialty grew core sales high single-digits driven by continued double-digit in high-growth markets and robotics. Jacobs Vehicle Systems delivered high single-digit core revenue growth. Kollmorgen once again posted double-digit core revenue growth, reflecting strong demand across its global industrial automation product line, which is driven by general industrial stabilization and continued robotic strength in Europe, China and Japan. Kollmorgen released the newest servomotor of products, AKM 2G, at PAC Expo in Las Vegas and also launched its latest mobile NDCA 3.0. Thompson delivered mid single-digit core revenue growth driven by double-digit growth in high-growth markets and strong North American distributor growth. Thompson released the newest addition to their smart actuator family that incorporates a synchronization feature for applications where multiple actuators are used in tandem to move the same load. Innovation across the automation businesses is driving new project wins to help position the business for future growth. Franchise distribution core sales were slightly up versus last year. Matco core sales were flat as growth in diagnostics was offset by continued softness in tool storage and a challenging hardline tools sales comparison. To wrap up, we are very pleased with the execution in the third quarter. We have made continued progress towards increasing growth and greater recurring revenue to enhance our portfolio. We’re building a great industrial growth company and we’re doing that with the Fortive Business System. The strength of our cash flow generation and balance sheet positions us well for continued capital deployment towards acquisitions as we leverage the Fortive formula to continue to deliver strong earnings growth. We are raising our full year 2017 adjusted diluted net EPS guidance range to $2.82 to $2.86, which includes our core revenue growth expectation of mid single-digit and an effective tax rate of 25%. We continue to anticipate core margin expansion of more than 50 basis points for the year and free cash flow conversion of approximately 105%. We are also initiating our fourth quarter adjusted diluted net EPS guidance of $0.74 to $0.78, which includes assumptions of low single-digit core revenue growth and an effective tax rate of 24%. With that, I’d like to turn it over to Lisa.
Lisa Curran: Thanks, Jim. That concludes our formal comments. Kirsten, we are now ready for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Scott Davis with Melius Research.
Scott Davis: Hi, guys, good afternoon.
Jim Lico: Hey, Scott. Good to hear you.
Scott Davis: Thank you. Thank you for making easy quarter on us and the last thing – I needed to know it was GE type quarter. So thank you for given that’s a clean number and good cash. But I’m kidding aside, I think I missed some of the service out when you did Industrial, Scientific and Land – Landauer, I guess, it is. How do they – are there synergies with the Fluke business and Qualitrol? Or are there – they’re both kind of software-as-a-service businesses. I mean, they’re – and detection. Is there a way to bring these things together and get kind of extra synergies if you will?
Jim Lico: Yes. Exactly, maybe a little bit. ISC, first and foremost, will be a separate operating company for us but will clearly have some synergy with the Fluke team. Rest in the team have really seen some opportunities to really combine this sort of what we view – what we deem is the term safetenance, which is to really take the maintenance professionals, it’s really a core part of the Fluke business and make sure that they have all the safety equipment that’s just core to the technologies at iNet, at ISC. So there’s certainly a nice synergy there that the team’s working on. And with Landauer, they’re real positioned in the hospital with radiation services, really goes well with a number of product technologies that we have in the Fluke biomet business, probably more directly synergistic with that business. So certainly, some synergies there. So great business, it’s independent, really but we also make sure we take advantage of a number of the synergies. We’re off to a great start at ISC as I said in the prepared remarks. Just closed Landauer, but we’re really excited to have them on the team as well.
Scott Davis: And then these – are these fragmented businesses where you’ve got an opportunity over number of years to roll them off? How does the structure than industry stand right now?
Jim Lico: Probably a little bit different. We like to – this portion of the gap, as you know, several of our peer companies have rolled up several safety companies, but we really see ISC as very different gas detection play, really focus more on their recurring revenue model and how they really go-to-market really is directed at specific kind of customer that really marries well with the Fluke customers. So probably less of a roll up strategy directly within the product technology. But some opportunities to sort of build on the software and data analytics capability that we have within the portfolio today or might add to the portfolio down the road. And same will be true for Landauer as well.
Scott Davis: Yes, that sounds interesting. Well, thank you for that. And I’ll pass it on. Good luck guys.
Jim Lico: All right. Thanks, Scott. Good to talk to you.
Operator: Our next question comes from Julian Mitchell with Credit Suisse.
Julian Mitchell: Hi, good afternoon. Just a question firstly around transportation tech. So it looks as if that business maybe down or GVR specifically maybe down slightly in the fourth quarter. So maybe just discuss, I guess, if that’s the case and how long you think that type of softness persist thereafter? And maybe give a little bit more color as well on dispensers, specifically, because I think one of your competitors have talked about a pickup recently in orders there, but the 10-Q commentary suggests not in your case.
Jim Lico: So yes, first, maybe more broadly around where we’re at with Gilbarco Veeder-Root. We had a good quarter. They did the sell-off double-digit growth. And as you know, Julian, we’ve had double-digit growth in that particular part of the market for number of years here. So little bit of slowing in North America, but we think that probably accelerates a little bit into the fourth and into the first quarter. So break down, low single-digits in the fourth and maybe slightly worse than that. But that probably persist into the first quarter, and then we’ll sequentially get better through the year. We still think Gilbarco can grow in 2018. So still an opportunity for margin expansion in the business with that sort of growth profile. And they’ve obviously done an exceptional job thus far. So that we had a great quarter into Spencers around the world, one of our best quarters I think that we’ve ever had. So a very strong quarter for us and as we see globally, I think, I never take stock into what’s happened in the first couple of weeks or anything like that. So I think we’ll see a little bit of flowing here for a little bit, but as we look at the market, we have – this is one of those things where because we have such connections with the top 300 customers. We have a pretty good sense of what they’re going to be doing here. So as we look at things, we certainly see a little bit of an air pocket here for the next couple of quarters, but we’re still pretty confident on the rollout as we look out over the next two years or three years.
Julian Mitchell: Great, thank you. And then just my follow-up would be I think gross margins had a nice expansion in Q3 having been flat in Q2. Is that really all about pricing? That seemed to get stronger in both businesses in the third quarter.
Chuck McLaughlin: Julian, this is Chuck. Yes, we’re happy to see our third quarter gross margins expand as we expected across the business. We saw really across the portfolio strong performance. Our prices as we mentioned as a piece of that with 50 basis points. But when you mention back in Q2, when we didn’t see as much, that was coming off of a really tough compare. And when you look year-to-date, we still felt confident about getting the kind of gross margin expansion that we saw and expected into Q3 and expected to continue into Q4.
Julian Mitchell: Great, thank you.
Chuck McLaughlin: Thanks, Julian.
Operator: Our next question comes from Andrew Obin with Bank of America Merrill Lynch.
Andrew Obin: Hi guys, good afternoon.
Jim Lico: Hi, Andrew.
Chuck McLaughlin: Andrew.
Andrew Obin: Just some questions on product realization. Looking at the queue, it seems that it’s slow down sequentially, but then your commentary on Tektronix was quite positive. It’s been a nice boost to growth this year. Can you just give us color what happened in the quarter and how does the growth rate look into the year-end? Thank you.
Jim Lico: Yes. Yes, sure. Product realization really makes up, really two big businesses, Tek and EMC. The Tek, as you mentioned, had a very strong quarter on the back of both good market work, but also the product introductions and innovations that they’ve launched in the quarter. So we think they’ll continue to see strength. As I mentioned in the prepared remarks, North America picked up a little bit for Tek as well, which was good to see on the back of some of this innovation. EMC had a little bit of a tougher – they had a very tough compare. We had talked about a bunch of backlog, last year had moved from the second quarter and the third quarter given them exceptionally strong third quarter last year. So they were banking against the big comp. But their book-to-bill is very strong and we feel very good about their growth for the year. So I think when you take that stock at that, I think product realization, we’ll have a good fourth quarter.
Andrew Obin: And just to follow-up on Landauer, now that you own the business, what are the most obvious sort of targets for cost synergies or just sort of cost takeout, how does that look now that you own it versus when you bought it?
Jim Lico: Well, we’ve owned it for a very short period of time, but nonetheless, I think we certainly feel that the public company costs will come out. That certainly is, I would say, probably easy to do. We certainly think there’s FBS opportunities even in the early days. The management there has been excited about those opportunities. Obviously, the Wes Pringle and the leadership of Field Solutions are very good at FBS, and so their ability to apply that will give us some opportunities. There’s some global go-to-market synergies as well. We’ll be able to leverage the sales force that we have there in the Fluke business, particularly in the bio – what we called the biomed business. So both cost synergies indirectly some FBS opportunities plus some synergies maybe not necessarily cost takeout, but to really leverage scale that we’ve already invested in Fluke.
Andrew Obin: Terrific. Thank you.
Jim Lico: Thanks and great day.
Operator: Our next question comes from Nigel Coe with Morgan Stanley.
Nigel Coe: Hi, good afternoon.
Jim Lico: Hi, Nigel.
Nigel Coe: Hey guys, how is going? So just wanted to dig in, just want to make sure, I heard that low-single digit growth in 4Q, I think that’s what you said, Jim. So just wondering, trying to kind of, I think, the impact of Transportation Technologies within that? And then maybe just any color you can give us in terms of how that PI and industrial.
Jim Lico: Yes. I think – PI will be good in the fourth quarter. A lot of the things we talked about in the prepared remarks in places like Fluke and Tek, which are some big part we’ll continue to see. Sensing we’ll continue to do pretty well. So I think we feel good about where PI is. As we mentioned in the remarks, we are seeing a little bit of an industrial North – particularly North America, a little bit of pickup in the industrial markets. Certainly saw that with peer companies as well as some of our customers like Granger and West Coast. So I think we feel good about the trajectory of the business, not just from a market perspective, but also from a lot of innovation we have. So PI should be – should have a good quarter. Really, the move down in, we’re also banking against the little bit tougher comp in the fourth unlike a lot of folks, we had very good fourth quarter growth rate that we’re comping against. So when you look across the portfolio with the exception of Matco probably still slow, Gilbarco down a little bit. But other than that, the rest of the portfolio should be in pretty good shape.
Nigel Coe: Okay, that’s helpful. And the comps I think gets up at the in 4Q. You definitely a little bit earlier to launch in the recovery. And then maybe a question for Chuck, on the free cash flow, the guidance is 105 for the full year? But I think you’re in the maybe high 80s year-to-date. Maybe just give us some color in terms of what’s being taxing free cash flow year-to-date in the conversion and what changed them in 4Q?
Chuck McLaughlin: Hi, sure, Nigel. First of all, 88% year-to-date is about where we would normally expect to be. And because the first half of the year especially the first quarter, we have a little bit lower revenue and then we pay out there’s some onetime payments, ICP and whatnot goes off in Q1. And then we finished much stronger more like 130-plus percent in Q4. That’s just normal. So we really think we’re at a good spot here and tracking right to 105.
Nigel Coe: Right. Thanks, guys.
Jim Lico: Thanks, Nigel.
Operator: Our next question comes from Richard Eastman with Robert W. Baird.
Richard Eastman: Yes. Good afternoon.
Jim Lico: Hi, Rich.
Richard Eastman: Maybe I’ll just quickly address this to Chuck. Just from the standpoint of when you look at Landauer and maybe also with ISC, those two business models have a pretty high recurring revenue kind of subscription oriented model. How – can you give us some help as to how they come into Fortive’s P&L either accretion or just it’s a big chunk of the revenue of either of those businesses have to be deferred?
Chuck McLaughlin: No. I think that next year – when we get into next year after that normal step up of just in terms of the acquisition after the first few months. No, it will come in pretty much as you’ve seen them in standalone in 2018. And so we’re going to see that revenue. And as you mentioned, Landauer has got over 80% of recurring revenue that may be pushing 90%. And ISC is an evolving and they are in the 40s but grow increasing that percentage. So both of those things are going to be trends that help us going forward.
Richard Eastman: Okay. And just from the standpoint of adjusted EPS, again, maybe math suggest that certainly with Landauer that with first year synergies that maybe can both of ISC and Landauer each contribute something high-single digit $0.01 per share, call it $0.08 or $0.09 per share each.
Chuck McLaughlin: Each? No. I think when we look at the three-year rightly, we like the returns on both of those deals. That sounds a little bit rich in the first year, but both are going to be accretive and be a driver for us next year in 2018. We’re going to give more color when we give our Q4 results in terms of what guidance next year. But both of those expect to be accretive next year.
Richard Eastman: Okay, I understand. And then just Jim, in the industrial tech segment, when you look at the automation specialty business, some of that, Kollmorgen, Thomson, some of that – much of that goes through distribution and with the pressure on these industrial distributors, certainly in North America given, it can be Amazon effect. Are you seeing anything, any push down on pricing to Kollmorgen, to Thomson from that channel?
Jim Lico: We’re not. No, we aren’t, Rich and I think there’s a couple of reasons for that. We’re a little bit more on the specialty channels here as when you think about Kollmorgen’s motor businesses as an example, it’s really not maybe more – it’s more custom applications with OEM, even if we bring that through distributors. It tends to be more – we’ve got more content from a customization perspective. And so we tend to not see – we don’t really play in a commodity market. And I call it commodity, but really it’s sort of general space. So I think it would not be unusual for us to not see that sort of price compression that existed with those channel partners. So as we mentioned, 50 bps of price in the quarter and it was pretty good across the portfolio. So from that standpoint, we continue to believe that we can get a little bit of price. We mentioned a couple of innovations in the prepared remarks, both at Kollmorgen and Thomson, which is the two biggest piece of automation and that really helps obviously give us better gross margins in the portfolio because a big part of the FBS is making sure that our innovations have better gross margins than the products that they replace.
Richard Eastman: Understand. Okay, great. Thank you.
Jim Lico: Thanks, have a good day.
Operator: Our next question comes from Jeff Sprague with Vertical Research.
Jeff Sprague: Thank you. Good day, everyone. Just a couple of quick ones. Jim, can you just elaborate a little bit more on how to think about kind of the rollout of new products at Tektronix? You alluded to a stronger performance next year. Are you talking kind of simply than annualization of what’s happening in the back half of this year? Or is there another wave of SKU count coming, et cetera? Or maybe what type of growth contribution you’re looking for there?
Jim Lico: Yes. So we launched of the five series at the tail end of the second quarter. That’s really part of the largest contributor to what we saw in the third. That’s our new midrange oscilloscope. As we mentioned, that’s a start of the platform product that we’ll have a number of other new generation products. So there’ll be another version that coming out roughly next year around the same time. We’ve got a couple of other products that are a little bit lower volume that contribute to it as well in a couple of different – maybe high rent categories, what we call the bit error rate tester or BERTScope as well as our arbitrary waveform generator. So two other products that are more higher end defense, mil gov, advance research, or in a data center or in it. So a number of those will also be launched. So when we think about where tech is, it’s probably still little early to see whether they’re going to pan out for the year next year. But we continue to see strength there. We talked about China. We’re starting to see some of the developed markets get a little bit better on the back of some of these innovations. So certainly, the annualization will be an impact next year, particularly in the first half. But we’ve got another wave of product that should keep it in growing throughout every quarter next year.
Jeff Sprague: Right. And then thank you. I guess, speaking of waves, a little M&A wave starting here. What’s the pipeline look like? Should we expect anything else before year-end perhaps? Or maybe give us a little color on the final?
Jim Lico: Well, yes. It’s always hard to say, but we feel really good about what we did in the third quarter. And quite frankly, what we’ve done since the start. When you think about the traction we’re getting in deals like eMaint and GTT that we did around this time last year as well as the bigger deals that we transformed or transacted, excuse me, in the third quarter. There is still – the funnel still is really good. We’re as busy as we’ve ever been. So we continue to be busy with opportunities. And we feel good about where we’re at. You never know if we get something done or not, we’re always working on things, but you never know. So we feel good about where we’re at and where we’ll be. I think the other thing may be expecting another question is certainly, things are – there are things that are expenses. You certainly see that certainly as the market goes up, but I think what we’ve been able to find is opportunities for good returns. You certainly see that with a portfolio of things we’ve done. So while pricing obviously has moved up a little bit as the market has gone up particularly in public stock, we clearly have seen opportunities to still have those kinds of returns that are important to the company.
Jeff Sprague: Great. Thank you.
Operator: Our next question comes from Steve Tusa with JPMorgan.
Steve Tusa: Yes. Hey, guys. Good afternoon.
Jim Lico: Hey, Steve.
Steve Tusa: Just a quick housekeeping items. Is the 20% tax rate, is that kind of the sustainable rate going forward now? Or is that – is there something kind of unique about this year?
Chuck McLaughlin: Steve, great question. No, I think that 25%, where with the average for the year is probably is what I’ll guide you to next year. The one thing that’s happening this year is the accounting change with the option, the benefit from option exercises. I think we believe that’s uniquely impacting this year. We’ve also done a great job. The tax team has done a great job getting the tax rate down into the 25%, a little ahead of schedule. But I think, 24% is probably – we’ll get there someday, but not next year.
Steve Tusa: Okay. So 25% next year.
Chuck McLaughlin: Yes.
Steve Tusa: Okay. And then just on the acquisition pipeline, can you maybe provide a little bit of color on if there are any big fish swimming around out there? Or pretty steady state? What’s your appetite for deals here over the next, call it, I don’t know, nine to 12 months?
Jim Lico: Well. I think, we really are – I know we maybe sound like a broken record, I apologize for that a little bit. But we really do have a good balance though. Certainly, a couple of bigger things came out with Landauer and ISC, but we’ve got a number of – the funnel it’s pretty balance around large things, certainly from things, that would be great bolt-ons to some of the businesses as well, so a good balance of those things. We certainly have the capacity to do a number of things, so it’s not – we’re not in any way inhibited by what we just done. I think the free cash flow generation, the strong profitability, we’re going to have double-digit earnings. We’ve obviously had it for three quarters in a row. We expect it for the next several quarters and certainly all of next year. So I think that certainly gives us the ability to do a number of things. I think one of the best things about where we’re at right now is a number of degrees of freedom that we have.
Steve Tusa: Okay, great. And sorry, one last one. I jumped in a little late. I’m not sure if anybody asked about semiconductor – the kind of sustainability, what’s going on in China semis. If somebody already asked about it, then don’t worry about it, I’ll read the transcript. But I just want to get your take on how sustainable that is and what kind of visibility you have in the next year.
Jim Lico: So no, one asked it. So I think we’ll have a great year in and particularly, probably the biggest aspect of that is in China where we’ve been benefiting from that with Tektronix. We saw a number of other parts and semiconductor improve in some of our smaller businesses like sensors, et cetera, and other places, which doesn’t necessarily move the needle necessarily for the overall company, but certainly gives us a sense that things are actually getting even a little bit better, so and the little bit more broadly. So we feel good about what that market will look like into 2018.
Steve Tusa: Okay, great. Thanks a lot.
Operator: Our next question comes from Deane Dray with RBC Capital Markets.
Deane Dray: Thanks, good afternoon, everyone. Just go back to price for a moment. You said 50 basis points in the quarter. If you kind of go across the portfolio, what are you getting the most price? And where are you finding it tough? Or do you actually have negative price in areas in the portfolio?
Chuck McLaughlin: Hey, Deane, actually, it’s very balanced across most of our companies. There’s a few point places where I think maybe this would have a bit – a little bit where we didn’t get as much at tech. They brought us a new product that are actually seeing good margin lift and they really have got a mix thing going at I believe with China and the rest of the world. But we don’t see it there as much. And also, I think in probably telematics is down a little bit as well. But that’s the competitive market and that’s not unusual. Although we’ve seen some good price realization, coming up as we go forward as the ELD has been rolled out. So even there, we’re seeing improvement, but it’s really strong across the portfolio.
Jim Lico: Yes. Maybe just to add on, Deane. A lot of folks have talked about price cost and we’ve been a really good shape relative to cost. So the price aspect of this is the incremental have been really good. So as Chuck mentioned, it’s good to see across the portfolio. And with the fact that our procurement supply chain teams are doing such good on the cost side, that’s why you see the continued confidence in our gross margin improvements.
Deane Dray: Sure. And then just as a follow-up, since it is such an important bellwether, the Fluke business, how it look on the sell in versus sell-through across our distributors?
Jim Lico: Yes. We get the best data in North America and Europe even though we didn’t around the world. But North America look pretty good. Sell in, sellout was relatively close. We didn’t see any inventory build whatsoever, so I think if we look – if I look more broadly in North America around places where we get channel sellout on balance, all pretty good number. So I think sustainable for at least in the – these are all short-cycle businesses, but at least within the year, we think things stay pretty good. And I think that’s what we’ve heard. So I think on balance, Europe is – Western Europe is kind of the same way. Pretty good. So we do get pretty good inventory levels from distributors in Europe as well and we haven’t seen any inventory building – build up as well. So sell in, sellout is looking pretty good right now.
Deane Dray: Good to hear. Thank you.
Jim Lico: Thanks, Deane.
Operator: Our next question comes from Andrew Kaplowitz with Citi.
Andrew Kaplowitz: Good afternoon, guys.
Jim Lico: Hi, Andy.
Andrew Kaplowitz: So Qualitrol had high-single-digit growth again decent for the penetration of [indiscernible] you talk about that in Europe and China. Can you talk about the business is doing there to achieve that kind of growth? Because when I look at competitors, I don’t know if they’re growing at that piece. And they seem to be suggesting that, it’s a little more choppy than you guys are seeing, so it seems like you guys are taking share or [indiscernible] different parts of the market than they are.
Jim Lico: Yes, a couple of things. One, we’re pretty local in China. So it’s an example, so we really have a good business not only with – also with the Chinese OEMs. So we really have a broader, probably a broader business than a lot of others that maybe sometimes you hear about. We have a little bit of maybe advantage of loss small numbers, too. But I think, I’m balanced, our team is executing exceptionally well. And so we continue to think that the way the investments are going in China will continue to do well at Qualitrol into 2018, at least we expect that. I mentioned you didn’t ask it a little bit. We did note that we are seeing a little sluggishness in the Middle East, particularly in places like Saudi Arabia. So we’ve seen the balance just as we look out in the near term. We think a strong China certainly overwhelms that. But we are seeing pockets of things where we are seeing a little bit of budgetary constraints.
Andrew Kaplowitz: Got it. Jim I want to ask about Jacobs Vehicle Systems, then down and then flat, now would actually turn to high-single digit growth. So can you talk about the outlook for that business? Is it going to be with a heavy truck market coming back here, high single-digit growth business going forward, what are you seeing in that business?
Jim Lico: Well, I think you’re exactly right. We’ve had a just an outstanding strong business there in China over the last couple of years. We really built a great business there. But as you know, the North American market was sort of offsetting that until recently. So North American market getting better, probably next year still not at peak levels, but probably certainly better than this year. We’ve got a little bit of mix with Europe where we are losing some business in Europe that will probably slow the business down a little bit that’s maybe going to take a little bit of the growth rates. But we would anticipate at least for sure North America and China growing next year. And overall, the business will grow.
Andrew Kaplowitz: All right. Thanks, guys.
Operator: Our next question comes from John Inch with Deutsche Bank.
John Inch: Thank you. Hey, Jim, the low single-digit growth, did you call out any of the businesses? I couldn’t – I can’t remember from your answer. Did you call out any of the businesses in the fourth quarter that you’re expecting to perhaps slow sequentially?
Jim Lico: Yes. I’ll give them back here. We would see – we would expect Gilbarco to probably sequentially be down in the fourth. They were not down in the third, so that’s probably the biggest change of really trajectory sequentially.
John Inch: Okay. That makes sense. Was the deal cost, Chuck, in the quarter that kind of kept the PI margins a little bit lower in terms of the sequential down?
Chuck McLaughlin: I’m taking through the answer in the sequential margins that, that deal – certainly, deal cost in the quarter. We look through them for – from the earnings per share, adjusted earnings per share. So they are not really hurting our OP margins at all.
John Inch: I was just thinking, PI margins were over 24 in the second quarter and they were down, but obviously, I’m just wondering if deal costs played a significant role in that. That’s all.
Chuck McLaughlin: So let me come back to you on specifically. I know we had it. I’m just wondering on that on the margin expansion that you’re talking about, how that rolled in there, but it likely did.
John Inch: Okay. Landauer fits, obviously set depending on how you look at it, right? It looks pretty pricey. I’m sure you’re going to get the benefits out of it over time. Your other – the rest of your pipeline, I’m sure, we’d be expecting because – it was a little bit of headline, Chuck. Should we be expecting similar types of multiple revenue types of deals coming forth? I was just kind of the priciest of the ones that just happened to hit?
Chuck McLaughlin: Well, we did three deals in the quarter. All have different profiles. All had similar return profiles. So as you know, we tend to focus on returns, so that’s – I certainly think that there will be times when a great asset becomes available and we will really – if we can get the right returns, we will take the opportunity. That doesn’t mean that there is a new trend here. As I mentioned before, prices are higher for some things. But we’ve been pretty disciplined. I think we found a number of things, what we paid for Orpak as an example was, I think, was very good. So if you look over time and you look over what we’ve got, and certainly think you’re going to see a mix of prices as you look at multiples of revenue or multiples of EBITDA. But I think on balance, you’ll see us still maintain a discipline around returns and, on occasion, you’ll see those situations where the opportunity is so good for our transformational like thing that will take advantage of it.
John Inch: But you have to admit that Landauer will be screening that toward the high end of what the…
Chuck McLaughlin: Yes, I would say Landauer is going to typically be at the high end of that. That’s for sure.
John Inch: Okay.
Jim Lico: John, sorry, to interrupt you. I just have the answer back on the transaction costs are about 140 bps impacting Q3 of this year in PI.
John Inch: Okay. So that kind of helps to explain the sequential trend.
Jim Lico: On a sequential, yes. We’re still up year-over-year.
John Inch: You are. You just actually had a really good quarter in PI last quarter. So we just made the sequential compare tough. Let me ask then just lastly here. We’re obviously, once we get over this air pocket going to roll into some pretty nice growth rates at EMV. Probably going to go on for two or three years. Then there’s a this whole notional kind of concept of the cliff, and I’m just curious, Jim and Chuck, how are you thinking about that now? Is it so far or it doesn’t really matter? Or do you actually think about beginning to manage around that so that could be adding to the diversity of the GVR business or it could be actually potentially divesting it before hand or – is it just – how would you respond to that kind of concept today?
Jim Lico: Well, I think it is a transformational like situation. But I think what we try to do is do a couple of things. And it isn’t too far off for us be thinking about it, so that’s maybe the first question. As you know, we have a broad discussion around strategy for a long period of time amongst all our business, not only amongst with Chuck and I, but also with the board around what are the degrees of freedom. I think there’s a couple of things that we’re really watching. One, we’re building our transportation technologies with a number of opportunities to really make sure that we are taking advantage of all the kinds of disruptive technologies that are going on and that certainly will be something that we’ll mute some of the things were talking about. We’re building a global business at Gilbarco Veeder-Root so the acquisition we just did with Orpak is helping us build out our high-growth infrastructure. You see some of those things with some of the successes we’ve had for instance on global dispenser that we described in the prepared remarks. So we’re certainly taking – making sure that we’re looking through this. And then other thing we’re trying to do is build more recurring revenue models. So that – yes, we might see it dip, but we won’t necessarily see the dip in margins. So our Insite360 strategy is really bringing on all of the number of sites to make sure that we’ve got recurring revenue with those sites, adding to that with more software over time. And it’s a number of those strategies that are going to work to mitigate that while at the same time, trying to determine how we can best take on that business in a way that will be – will mitigate any potential bubble out there. So we’re certainly working on it. I think it’s a little early to be very specific about what we’re actually doing, but we have a number of things going on right now that are working to – and we talked a lot about things like Insite360. And some of the payment things we’re trying to do as well to build this business for the long-term, which ultimately keeps maybe it has a little bit of a downturn in that revenue. It’s specifically at Gilbarco North America, but on balance is offset in the number of other parts of the portfolio.
John Inch: Yes, and you’ve got time to work it through. Okay, thank you guys. Appreciate it.
Jim Lico: Thanks, John.
Chuck McLaughlin: Thanks, John.
Operator: Our next question comes from Joe Ritchie with Goldman Sachs.
Evelyn Chow: Hi, everyone. This is Evelyn Chow on for Joe. Maybe stating with Matco for a second. I know last quarter you had some softness in the storage area. It seems like overall, trends are moving in the right direction. As you think about this business and what you’re hearing from your dealers and your customer surveys, at what point do you kind of feel this can get back to you that low to mid single-digit type grower.
Jim Lico: Yes, I think, what we highlighted in the prepared remarks, was a tool storage was still weak, so we’ve continue to see sort of the high ticket items, Evelyn, sort of still be more challenged in the portfolio. We think that’s pretty well tied to mechanics hours and what’s going on there. We see less hours with mechanics, less dollars on their pocket, less likely to buy the high ticket items. We did see some of our diagnostic lines have really good growth. So – and in some of the day-to-day stuff is still doing pretty well. So we expect that some of those challenges will continue to happen through likely the first part of next year. That’s when you start to see the vehicle production that happened in 2010 start to take on. We think about vehicles that are seven or eight years old as a big part and so what we’re seeing right now is that 2008, 2009 dip in vehicles coming into that age where they need the most maintenance. So as the 2010 and 2011 vehicle production numbers come in, you’ll start to see those mechanics hours bump up. And that’s roughly around the summertime of next year.
Evelyn Chow: That’s very helpful. And maybe revisiting something from last quarter. I know you had a great quarter in 3D sensing. I think at the time, you were kind of still gauging the broad opportunities of your business. Just wondering how that thinking has evolved?
Jim Lico: Yes, we probably we’ll see anything right now there’s – as we look at our type of solution and the kinds of applications that exist, I know everybody thinks that all 3D sensing opportunities are alike, but they’re not. And so we do think that there will be opportunities in 2018 and 2019 for 3D sensing. We would expect to see some revenue from that, but that’s a customer-by-customer story and not as broad-based as maybe the overall theme is going. So we feel good about what’s going on in Tektronix and Keithley. We feel like we have a great opportunity to take advantage of a number of opportunities. One of them to be 3D sensing, but it’s not necessarily the massive trend for us and sometimes you read about when you think more broadly about that technology.
Evelyn Chow: Thanks everyone. Have a great night.
Jim Lico: Thank you.
Operator: Our next question comes from Joe Giordano with Cowen.
Joe Giordano: Hey guys, how are you?
Jim Lico: Hi, Joe.
Joe Giordano: Maybe just, most of my stuff has been answered. Just a question on Landauer. So can you talk us through what the growth, organic growth has been there for the last couple of years? And how do you guys – is most of the – your philosophy to grow that business more leveraging your existing businesses, like can you talk about Fluke, IC?? Or do you have like what’s your strategy to grow that business on its own outside of potential revenue synergies with those stuff?
Jim Lico: So I think they were flat for a couple of years. They’ve been growing this year, but they were flat for a couple of years based on a number of things, one of which was a challenged ERP implementation that was really hurting them from a resource perspective. We think they’re on a better trajectory right now. As I mentioned before, we think being able to utilize some synergy that we have with our global footprint, leveraging the bigger business will essentially double the size of our healthcare biomedical business with the addition of Landauer. And the combination of that will really create, we think, a number of growth opportunities, growth initiatives to bring some solutions – new solutions, but also to leverage the global go-to-market in ways that quite frankly Landauer couldn’t necessarily leverage with their size. So that’s really where the opportunity and we think we can turn it into a grower year. They’ve been growing last couple of quarters, so we think it will continue to be able to manage that growth over the next several years. But it will take a little while to get some of that work done. Some of that is not stuff that happens in the quarter or two, but in order to get the return, we feel we can get a really good return there. It’s a combination of some obviously, the opportunities to bring out peers to the organization, but also to deliver accelerated growth in the business as well.
Joe Giordano: Is it more of a new product introduction upgrade kind of call there? And just remind me what the recurring element is. I know it’s high, but I’m forgetting exactly how?
Jim Lico: The recurring is close to 90, I think it’s a little bit above 85, so it’s a very good recurring revenue model. And it will be – they have some good technology, so we feel good about the technology. We’ll obviously continue to invest in innovation. That’s one of the things that, I think, a hallmark of our business, so we’ll continue to do that. And I suspect that will create some new opportunities, but I think we’ll get good some of the growth will certainly come from this geographic expansion of their current product portfolio.
Joe Giordano: Okay, thanks guys.
Jim Lico: Thank you.
Operator: Our next question comes from Patrick Newton with Stifel.
Patrick Newton: Yes, good afternoon Jim and Chuck, thank you for taking my questions. Most have been asked and answered so I have somewhat of a nuanced question on Tektronix. I believe that this business is number one in services within the targeted markets and we’ve seen a major initiative from key side to focus its business on both servicing its own equipment and also third party equipment. I’m just curious if you’re seeing any changes in the services market giving this competitive initiative?
Jim Lico: Well, yes, I think obviously everybody – the first initiative that everybody tries to do is to service their own equipment. That’s – I think it generally has an advantage in doing that. And then as you said, the multi-vendor services opportunity. We had a very good quarter and services to attack this quarter. So we feel like we’re actually getting a little bit of the tailwind in the business from some of the work we’ve done and feel good about it. So it’s big market, there is a lot of third party people. It would be more than the right assumption to think that both us and Quayside could clearly grow in the market together as we – because there are – the market is mostly third-party labs and calibration to do that work around the world. So the opportunity for OEMs to do this is still pretty big even if they’re not necessarily competing.
Patrick Newton: Great. And I guess just shifting gears back to an earlier question you had on 3D sensing, you kind of set that for a market for Fortive that is perhaps not as big or as broad as some of the 3D sensing applications. And I’m curious why that is? Because I believe that your initial initiative that Keithley gain traction and actually was the very widely known consumer electronics release with the iPhone X and facial recognition. And perhaps I’m wrong, but why is that test application not widely applicable to similar consumer electronics types of applications? Or perhaps I missing something within your prior answer?
Jim Lico: Well, first, I would never comment on the customer of ours, given our inability to comment on what customers we have there. I think first and foremost, there are specific applications where we do pretty well. I think it has something to do with the level of quality and how you approach of testing. So not every consumer electronics customer approach of testing that way. There’s a couple of different ways to get them in today and, if you will, from a testing compliance capability and certain companies don’t go this intervention as others. So we’ve latched on to a certain technique, if you will, that really bodes well for how we do it in our technology. That isn’t necessarily everybody will do things like facial recognition. But that said, we do think there’s a broader opportunity here and we are building out some capability from a applications perspective to be able to build solutions for some of the product applications that might exist. We just – that’s very, very early days and it will be premature to comment on the success or failure of that at this point.
Patrick Newton: Great. Thank you for taking my questions. Good luck.
Jim Lico: Thanks Patrick.
Operator: Ladies and gentlemen, that will conclude our question-and-answer session for today’s call. I will now hand it back over to Lisa for any additional or closing remarks.
Jim Lico: Thanks Christina. Thanks, everybody, for being on the call today. We’re exceptionally excited about the third quarter, so I’m setting kind of our one year anniversary of doing the call on our own and we’re really excited about what we’ve got going here in the fourth quarter and into 2018. We’ll see many of you here shortly as we’re out and about, and we’ll look forward to seeing you then and giving you our guidance in February. Obviously, Lisa and Josh are available for any questions or follow-ups and we look forward to seeing you soon. Thanks, and have a great evening.
Operator: Ladies and gentlemen, thank you for joining us for Fortive Corpration’s third quarter 2017 earnings results call. Thank you. You may now disconnect. And then have wonderful night.